Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Vail Resorts fiscal 2009 year-end results conference call. (Operator Instructions) I would now like to turn the conference over to our host, Mr. Robert Katz, Chief Executive Officer of Vail Resorts. Please go ahead, sir.
Robert A. Katz: Thank you, Operator. Good morning, everyone. Welcome to the Vail Resorts fiscal 2009 year-end earnings conference call and simultaneous webcast, both open to the public and press at large. I’m Rob Katz, Chief Executive Officer of Vail Resorts. Joining me on the call this morning is Jeff Jones, our Chief Financial Officer. Before I get into the discussion of our results, let me remind you that we are using the term reported EBITDA to report earnings for each of our operating segments, namely mountain, lodging, and resort, which is a combination of the mountain and lodging segments, and real estate. The company defines reported EBITDA as segment net revenue less segment operating expense plus or minus segment equity, investment income or loss, and for the real estate segment, plus gain on sale of real property. The company also uses the term net debt, which is defined as long-term debt plus long-term debt due within one year, less cash and cash equivalents. Complete reconciliations of reported EBITDA and other non-GAAP financial measures can be found in this morning’s earnings release and on the vailresorts.com website in the investor relations section. I also need to mention that comments made during this conference call other than statements of historical fact are forward-looking statements that are made pursuant to the Safe Harbor provisions in the Private Securities Litigation Reform Act of 1995. Certain risks and uncertainties could cause actual results to differ materially from those contained in the forward-looking statements. Investors are directed to the risks and uncertainties described in the documents filed by the company with the Securities and Exchange Commission, including the company’s Form 10-K for the fiscal year ended July 31, 2009. In addition, the Safe Harbor language in today’s press release also applies to our comments on this call. All guidance and forward-looking statements made on this call are made as of the date hereof and we do not undertake any obligation to update any forecasts or forward-looking statements except as may be required by law. So with that said, let’s turn to our fiscal 2009 results and outlook. As we mentioned in the earnings release, I am pleased that Vail Resorts was able to deliver solid results for the fiscal year ended July 31, 2009, given the unprecedented economic environment and its impact on the travel and leisure sectors. Overall our fiscal 2009 net income, as well as resort reported EBITDA, fell in the upper end of our guidance ranges which we issued in March 2009 and reaffirmed in June 2009 in our second quarter and third quarter earnings releases respectively. Our real estate reported EBITDA slightly exceeded the upper end of our previous range. These results all benefited from our continued focus on implementing our cost savings initiatives which helped to insulate our results from the full impact of the downturn in the travel and leisure spending and better position the company for Fiscal 2010, where we will realize the full year impact of these initiatives. Importantly, we were able to achieve these expense reductions while actually improving our company-wide overall guest satisfaction scores over the prior year when the economic environment was much more favorable for our guests. Total skier visits declined 5.3% for the 2008/2009 ski season and total lift ticket revenue declined 8.4%. We estimate that total destination visitation, defined as visits from our out-of-state and international guests, declined by approximately 15% for the 2008/2009 ski season. While we saw overall visits from season pass holders improve by 17% due to an increase in the number of passes sold and an increase in pass usage during the season. This was especially true for our new epic season pass holders, which includes both destination and in-state guests, who skied more on average than our other passholders. Visitation at our Colorado resorts declined by 3.5% during the 2008/2009 ski season compared to the 2007/2008 ski season. This compares very favorably to the skier visit results reported by the rest of the Colorado ski industry, which declined 6.9% over the same period, and the Utah ski industry which declined 6.5%. The number of season passes sold for the 2008/2009 ski season was 12.2% greater than the number of passes sold for the 2007/2008 ski season, due in large part to the introduction of the Epic Season Pass in the 2008/2009 season, and when combined with an 8.3% increase in effective pass price, drove a 21.7% increase in season pass revenue. As we look back to fiscal 2009, the introduction of the epic pass marks a step change improvement in the way we market pass products to our guests and one we hope to grow substantially in the years ahead. Our lodging segment continued to feel the impact of the economic environment in the fourth quarter, where our properties continued to experience a much closer-in booking window and offered an increased level of promotions and packaging discounts that reduced revenue per available room. RevPAR at our owned hotels on a same store basis declined by 10.9% for Fiscal 2009, which was a smaller decline than that experienced by the luxury and the upper upscale segments of the lodging industry as a whole, which had estimated RevPAR declines of approximately 21% and 15%, respectively. Our group lodging business was negatively impacted, especially during the shoulder and summer seasons, including in our GTLC properties and as a result the company saw a mix shift from group to transient business. We were very pleased with our fiscal 2009 real estate segment results, which included the closing on our last eight Lodge at Vail Chalet units, 42 out of 45 residences at Crystal Peak Lodge, and our final two condominium units at the Arrabelle, which together represented the vast majority of our $186 million in fiscal 2009 real estate segment net revenue. In addition, we received final initiation fee deposits on 400 memberships to the Vail Mountain Club and Arrabelle club, representing total membership proceeds in excess of $71 million. Very importantly, all of these real estate closings and final club deposit receipts occurred in the heart of arguably the worst economic environment of our lifetimes. Our Fiscal 2009 Resort operating results, real estate sales proceeds and private club initiation fee deposits, combined with stringent discipline in managing our balance sheet and capitalization positioned us well in this challenging environment with Net Debt leverage less than two times trailing twelve months Total Reported EBITDA, no borrowings under our revolver and virtually no principal maturities due on any of our debt until 2014. Before I highlight some new initiatives that we have been working on, let me turn the call over to Jeff to further discuss our results and fiscal 2010 guidance.
Jeffrey W. Jones: Thanks, Rob and good morning, everyone. Earlier this morning we released our earnings for our fiscal year ended July 31, 2009 and also filed our Form 10-K for the fiscal year 2009. As many of you are aware, our fourth quarter historically is a loss quarter for the company since although our mountain resorts are open for a portion of the fourth quarter for summer activities, there were no ski operations during the quarter. Our summer mountain business was solid in the fourth quarter of fiscal 2009 and when combined with continued strong expense control produced fourth quarter mountain segment results that were better than we expected. Turning to our lodging segment, which drove the majority of resort net revenue in the quarter, as Rob mentioned earlier, the impact of the economic environment continued into the fourth quarter for our lodging segment. We saw a higher drop-off in revenues than expected in our Vail lodging properties as well as at GTLC in the fourth quarter of fiscal 2009, due primarily to a significant reduction in group business which could not be offset by FIT visitation, with associated dining revenue also negatively impacted. However, overall we were pleased with our resort fourth quarter results as we were able to manage our operating expenses in the fourth quarter of fiscal 2009, benefiting from our cost-savings initiatives, partially offset by some one-time prior year favorable expense credits, which did not reoccur in the fourth quarter of fiscal 2009. In fact, throughout all of fiscal 2009 in our mountain and lodging segments, we were able to identify and adjust expenses more than might have been expected. As far as our real estate segment in the fourth quarter of fiscal 2009, we successfully closed on the final Lodge at Vail Chalet unit for gross revenue of $20.2 million. That marked the final unit from both the Chalet and Arrabelle projects for the year. Besides that closing, our real estate results for the fourth quarter essentially reflected marketing expenses for our two active projects under construction, one Ski Hill Place in Breckenridge and the Rick Carlton Residents at Vail, direct overhead expenses incurred in our real estate segment, as well as allocated corporate overhead expenses, all of which types of expenses will continue each quarter going forward for the foreseeable future. The company in the fourth quarter of fiscal 2009 continued repurchasing shares of common stock under its previously announced repurchase authorization. Repurchasing 278,300 shares of common stock at a weighted average price of $26.93 for a total amount of approximately $7.5 million in the quarter. Now turning to our real estate development projects under constructions, One Ski Hill Place in Breckenridge and the Risk Carlton Residence at Vail, we expect to incur between $190 million and $210 million in cash expenditures subsequent to July 31, 2009 to complete these projects, which is consistent with our prior total estimates of costs for these projects less what has been spent through year-end. In addition, both projects are currently tracking on schedule, with One Ski Hill Place projected to be complete late spring of 2010 and the Risk Carlton Residence at Vail completion anticipated in the first quarter of fiscal 2011. In addition, we are tracking on target with our previously announced calendar year 2009 resort capital guidance of $50 million to $60 million, excluding resort depreciable assets arising from real estate activities, of which approximately $20 million was spent as of July 31, 2009, leaving approximately $30 million to $40 million to spend in the remainder of the calendar year 2009. Included in those capital expenditures are approximately $32 million to $37 million in resort maintenance CapEx, which we believe are necessary to maintain the appearance and level of service appropriate to the company’s resort operations, including routine replacement of snow grooming equipment and rental fleet equipment. The company remains in a strong position from a capital structure and balance sheet perspective, which we believe offers us even greater flexibility during these times of economic uncertainty. Our $400 million senior credit facility which at year-end had no revolver borrowings and $95 million of letters of credit outstanding matures in 2012 and our senior subordinated debt does not mature until 2014. Consistent with what we have stated previously, we do anticipate modest revolver borrowings at certain times in fiscal 2010 given the remaining investments required for our two real estate projects under construction. Turning to our guidance, today we announced our guidance for fiscal 2010. After the economic turbulence experienced in fiscal 2009, we expect to benefit from a more stable overall economic environment in fiscal 2010. Although our visibility at this point is limited, as we are not yet in a period where our ski operations have commenced for the upcoming season, nor are we where we’d expect to see meaningful bookings for the ski season. In addition, supported by the momentum of our advanced season pass sales for the upcoming 2009/2010 ski season, combined with our renewed efforts on improving destination visitation and ancillary business spend, we anticipate that the revenue lines of our resort business will improve year over year. Additionally, the cost saving initiatives implemented during fiscal 2009 will provide a favorable full-year impact in fiscal 2010. Therefore based on our current estimates, our fiscal 2010 guidance range anticipates growth in year-over-year resort reported EBITDA. Our fiscal 2010 full-year resort reported EBITDA, the combination of our mountain and lodging segments, is expected to range from $178 million to $188 million. The resort guidance includes a range for mountain reported EBITDA of $170 million to $180 million after $5 million of stock-based compensation expense and lodging reported EBITDA to range from $5 million to $11 million after $2 million of stock-based compensation expense. Contrasting the resort segment, our real estate segment results, which are an impact in any given year by the timing and mix of real estate sold and closed are expected to decrease significantly given the type and number of units closed in fiscal 2009 as compared to anticipated closings for fiscal 2010. Therefore real estate reported EBITDA is expected to range from a loss of $8 million to 0 after $4 million of stock-based compensation expense. Based on our current estimates, we expect net income to range from $25 million to $35 million. At this time, I would like to turn the call back to Rob.
Robert A. Katz: Thanks, Jeff. As Jeff mentioned, looking ahead to the 2009/2010 ski season, we are cautiously optimistic that the economic environment will at a minimum stabilize. However, we are anticipating that even should the environment improve, some of our guests will remain highly focused on value -- not necessarily looking for the cheapest option but instead searching for ways to get the best experience at acceptable price points. Our company is heading into the 2009/2010 ski season with our own intense focus on providing guests with the value they are looking for. While we will remain active with packages and promotions throughout the season, we have also spent much of the off-season creating new products, services, and offerings which can provide appealing price points for our guests. Our initial efforts along that strategy is the marketing of our season pass programs. These products offer guests incredible value while providing our company with greater certainty and stability to our resort revenue. To date, we are very pleased with our season pass sales for our upcoming 2009/2010 ski season, compared to the comparable period of the prior year. Through September 20, 2009, our total season pass sales to date for the upcoming 2009/2010 ski season have increased approximately 15% in sales dollars and approximately 14% in units over the same period last year, with the prior year selling period representing approximately 55% of the total passes sold for the 2008/2009 ski season. We have continued to see sales of the Epic Season Pass outpace our other pass products and strong consumer reception to this new product. As a reminder, in the 2008/2009 ski season, season pass revenue grew to 34% of lift ticket revenue compared to 26% in the 2007/2008 season. We were hopeful that given the unique value pass products offer, we will be able to further grow season pass revenue as a percentage of lift ticket revenue and provide even greater stability to our financial performance. I should mention that while this remains strong pre-season performance, it is too early to discern the extent to which this trend will continue and what the ultimate level of any incremental new season pass purchases may be. I should also note before we get to questions on the subject that due to competitive reasons, we will not be providing further detail on the performance of individual pass products. So what are we doing differently this year to market the epic season pass? This year we have redefined our strategy to increase awareness of our season passes through new marketing campaigns. We are very excited to partner with skier Lindsay Vaughn, a two-time defending World Cup overall champion, who is preparing for her epic season highlighted by her anticipated participation in five events at the 2010 Olympic Winter Games. Lindsay will represent all of the company’s five World Class resorts, Vail, Beaver Creek, Breckenridge, Keystone, and Heavenly, and the epic season pass. She will appear at select consumer events and ski shows in the U.S. and Europe this fall prior to the start of the ski season to generate excitement for skiing and snowboarding, the upcoming Olympic Games, and to promote the epic season pass. In addition, for the first time we have launched our epic pass retail tour, partnering with select ski retail shops in key markets across the country to promote Epic passes and all five of our mountain resorts. We are also teaming up with Warren Miller Entertainment to have an on-site event presence throughout their upcoming film screenings to promote Epic and Summit passes. We should also note that we have shifted our marketing focus away from traditional print media like ski and skiing magazines, and towards online and social media. This strategic shift made right after the 2008/2009 ski season, is a reaction to the significant changes going on in the media industry and a response to where we believe our guests will be looking for information in the upcoming season. In addition, the ski industry is very well-positioned to capitalize on many of these secular trends as a very high percentage of our guests go online before making their vacation plans and are also more apt to be engaged in social media like Facebook and Twitter. As such, we intend to be actively interacting with our guests online both before as they make their vacation plans and after they arrive at our resorts. Toward that end, we have recently launched completely revamped websites for each of our mountain resorts, including a state-of-the-art booking engine, with trip folders, drag-and-drop product selection, a highly intuitive lodging comparison function, and dynamic virtual tour experiences for each of our resorts. We are very confident that guests will very much appreciate the greatly improved user interface. In fact, our main five resort portal, snow.com, which was revamped before the 2008/2009 ski season, was the winner of the OMMA award for website excellence in the travel category. In addition, in the spring of 2009, we launched an intensive internal process focused on recapturing revenue that we lost in our ski school and dining areas in fiscal 2009, instilling a new sense of creativity both with product design and how we market these to our guests. We also focus on opportunities to further reduce costs without impacting the guest experience, such as our previously announced paperless initiative. Taking a look at ski school, we determined that this product enjoyed a very high guest loyalty but that in the new economic environment we needed to provide an additional compelling offering at an appealing value price point. Toward that end, we recently announced the adventure sessions program, tailored to give adult guests a whole new way to enjoy ski school. Our tag line for the program is if ski school had recess, this would be it, and it sums it up pretty well. The adventure sessions is for folks who are not looking for traditional ski school lessons but would like to enjoy the benefits of [inaudible] privileges, a ski instructor to guide them around the mountain, and the camaraderie of skiing with other folks at a similar skiing level and terrain interest. The product offers the feel of a private lesson but at the approximate price of an adult group lesson of $119 to $129 per person for the day. Turning to our dining initiatives, we have also unveiled new mountain dining programs designed to offer the highest quality food combined with some great value. This includes revamping all of the burgers we serve on the mountain to a fresh, Angus beef top quality hamburger but at the same price point as last season. A new $9.95 daily value meal, always on sale at each of our on-mountain dining establishments and a convenient new pre-paid Mountain Meal Card, which will offer added value by providing up to a 20% discount so long as the card is purchased seven days prior to arrival at the resort. We look forward to aggressively marketing these and other programs to our guests throughout this coming year. In addition, fiscal 2010 will be an exciting year for our Rock Resorts brand. We plan to add three new hotels to the portfolio, [Valconis De Atlantico] in the Dominican Republic, Tempo, Miami, and One Ski Hill Place in Breckenridge. [Valconis De Atlantico], which was a recent new announcement, is a beach-front resort in the Dominican Republic with 86 multi-room villas, ideally situated along the sparkling waters of the white sand beaches, both the Rock Resort spa and fine dining restaurant will allow guests to enjoy some of the most breathtaking views around. Tempo Miami is a 67-storey luxury hotel and residential development located in the heart of Miami’s cultural center and will comprise 306 residences, a 56-room hotel, and a variety of amenities including a full service Rock Resort spa, fashionable street-side restaurant, numerous pools and unparalleled ocean and city views. One Ski Hill Place, as part of our real estate development project, will be branded a Rock Resort and is located at the base of Peak 8 at Breckinridge Ski Resort. It will be comprised of 88 luxury ski-in, ski-out residences which will range from studio to four bedrooms featuring high ceilings, natural wood and stone materials, a stunning living room with fireplace and large windows, and breathtaking alpine views. As we continue to grow the Rock Resorts brand, we will look for properties of distinction that will provide our guests with luxurious accommodations in unique locations, acclaimed dining, and a variety of year-round outdoor adventures. Our pipeline of potential new Rock Resort properties has filled nicely in this environment and we hope to make further announcements of new Rock Resort properties in the near future. Before offering some concluding remarks, I would like to acknowledge that Bill Stiritz recently announced that he would not be standing for reelection as a director at our December 2009 annual meeting. Bill has been on the Vail Resorts board since 1997 and prior to that has been intricately involved with Keystone Breckinridge and [Rapaho] Basin since the early 1970s through his leadership roles at Ralston Purina and [Ral Corp.]. Bill has been a passionate advocate for our mountain resorts throughout his tenure and a passionate Keystone skier and golfer. He has been an important leader on our board and an important confidant to me and my predecessors. I would like to thank Bill for his years of service and particularly for the support that Ralston Purina and [Ral Corp] offered to Keystone throughout their involvement. There is no doubt that fiscal 2009 was a tumultuous year given the economic uncertainties that we faced. However, I believe we passed the test with our fiscal 2009 results, proving that our business model is strong and resilient. We have irreplaceable world class assets, growing season pass programs, and a strong balance sheet, all of which when combined with our most important asset, our incredibly qualified and passionate workforce, have allowed us to weather this storm better than most. As we continue to differentiate ourselves, we are well-positioned to offer our guests a truly exceptional experience and a great value proposition. Before I turn over the call for questions, we hope you join us at one of our extraordinary resorts this season to see our new product offerings and also celebrate Vail’s blue sky basin’s 10th anniversary and the opening of Keystone’s new skier bridge following last year’s opening of their new gondola. And finally, I would like to thank all of our employees who have been very instrumental in our success for their passion and dedication, especially considering the economic challenges that we have faced, which as a company has made us even stronger. At this time, Jeff and I will be happy to answer your questions. Operator, we are ready for questions.
Operator: (Operator Instructions) Our first question comes from the line of Chris Woronka with Deutsche Bank.
Chris Woronka - Deutsche Bank: I noticed you didn’t disclose the hotel booking statistics this time as you did last year and I understand that booking windows have shortened and that the pre-season sales are only about 15% to 20% but can you maybe talk directionally about it and what you are seeing, what you are doing on rate versus kind of rebuilding occupancy?
Robert A. Katz: Sure. First of all, no, we definitely made a conscious decision not to talk about it. I think that’s because we are not really that focused on it. I think the -- obviously I think we were already seeing a shortening of the booking window last year. I think that when you combine the fact that this time last year was before the real impacts had hit from the financial dislocation. I think we just felt like it’s just not a trend that’s material. Obviously bookings are down overall. We think that the December earnings call will be a better time to start updating and talking about that. At that point, we’ll have some comparable statistics to periods after the financial crisis of last year. And given the shorter booking windows, probably some more meaningful numbers. In terms of rate and occupancy, what I would say is we are really looking at a comprehensive strategy. We don’t kind of go with a focus on one or the other. We are really looking to maximize lodging revenue but at the same time maximizing overall resort revenue. And that just depends upon the individual package, promotion time of year, overall occupancy levels and many other factors. But it’s something that we are highly focused on.
Chris Woronka - Deutsche Bank: Okay, fair enough -- and just to switch gears for a second, on the acquisition front, I know you won't be able to say a lot specifically but is it your sense that there is a better chance this year that an opportunity comes along as we are hearing about now certain levels of distress across the industry and -- what is kind of your number one criteria when you think about potential acquisition?
Robert A. Katz: Well, you’re right -- I am not going to comment on that, I’m not going to comment on it for this year either. I certainly can comment on our criteria. I think we are looking for properties or businesses that we feel allow us an opportunity to leverage our existing strengths and so that there’s a reason why we can add value to whatever it is that we would buy. I think that the key thing for us is discipline. I think that’s something obviously that has paid off in spades over the last year and we don’t intend to walk away from that discipline. You know, with that said, we are always actively looking for the right opportunity.
Chris Woronka - Deutsche Bank: Okay, very good. Thanks.
Operator: Your next question comes from the line of Felicia Hendrix with Barclays Capital.
Felicia Hendrix - Barclays Capital : As you are trying to get back your lost destination guests to get them to spend more, obviously you are implementing a lot of different initiatives, I’m just wondering how you are thinking about the window, the walk-up window ticket pricing for the peak season.
Robert A. Katz: What I would say is we haven’t really made any final decisions on that. I guess what I would share though is as a whole this is not a year where we believe you are going to see too many price increases across the company. I think this is not -- obviously in prior years in a different economic environment, obviously that’s been a key part of the strategy and there’s no question that going into this year, that’s going to be a much lesser part of our strategy. I think this is a time where you want to get not only guests who have been to the resort before to come back but also to take more trips, and quite frankly we want to focus on getting the guests who have previously spent more money with us to again reengage with a lot of those products. Again, I’m not going to speak to any specific price but I think if you thought about the overall strategy, our focus is much more on volume and participation than it is on price.
Felicia Hendrix - Barclays Capital : Got it. That makes a lot of sense. Thanks for that. And then just on real estate, just to get some updates since the last call and since we’ve been through the summer, just on the repricing effort, just wondering if all the contract holders ended up taking that?
Robert A. Katz: No, they didn’t. There are some that didn’t but certainly a big majority did. I think the -- you know, I think what we are seeing on the real estate front is the way I’ve described is there are -- is much more activity around the Ritz project. I think even if we haven’t reported a sale, per se, I think you are getting a lot more people taking tours, you are getting a lot more people asking for contracts and while in the end, it’s the sales that count, we went through a long period of time where there was really no activity. And so I think we are starting to see kind of real estate activity bubble up again. I think if you look at some of the overall numbers for [Eagle] County and the Town of Vale, you will see months, the most recent months being much higher than the previous four or five months or six months. Now those months in terms of real estate activity are still much lower than they were two years ago or a year-and-a-half ago but I think we are starting to see kind of that renewed interest. I think that goes along with the up-tick in the stock market. People are feeling a bit more confident, so I think we certainly feel more confident about our real estate efforts for this season but still pretty cautious.
Felicia Hendrix - Barclays Capital : Okay, just so I can understand, getting back to -- so the people who didn’t take the repricing, did they walk or did they just not take it?
Robert A. Katz: No, they just didn’t take it and I think -- you know, it’s hard to say why ultimately any particular person made their decision and I don’t really want to comment on that but I’ll talk broadly and again probably should come as no surprise that broadly in the real estate industry, there are people who signed contracts at one point in time and may or may not ultimately look to close on those contracts. We even had that at Crystal Peak where we had three of our 45 units that were under contract decide not to close. And so I think that’s a process that’s going to continue to play out over time and at the same time there are other people who are 100% confident they are going to close and so I think that’s something that we are going to be working through over the next 12 months and I am sure we will be talking more about that, particularly as we get into the beginning of calendar year 2010.
Felicia Hendrix - Barclays Capital : Okay, and then just with the units that Marriott has, have they been a partner with you in terms of how they are pricing their units?
Robert A. Katz: No, there’s no coordination from the --
Felicia Hendrix - Barclays Capital : No, I don’t mean coordination -- what I just mean is in line with -- basically my question is have they been under-cutting you?
Robert A. Katz: No, again I -- no, I don’t -- I think that there is -- I would say that both organizations have taken a more flexible approach to pricing. Obviously Marriott just put out an announcement yesterday about their time share inventory and about taking a more flexible approach and again, that’s pretty consistent with what we are doing. So I don’t -- and it’s a very, very different product. So at the end of the day, I don’t think -- we don’t really view -- somebody who is coming in, who is interested in buying a whole ownership unit is not really interested in buying a 12th or a 16th or a 10th of a unit. You know, again I think the -- their fractional units are not really a primary concern for our efforts on selling the whole ownership units.
Felicia Hendrix - Barclays Capital : Okay, great. And then just final, last question, just getting back, I know you said you are not going to give color on individual pass subs but I just want to ask, you might have even said this, I might have missed it, did you give any color into what your same-store season pass sales were?
Robert A. Katz: No, and that’s a very difficult -- because same-store, we have people who are trading from one path to another so the concept of same-store sales as it relates to our season passes is very difficult. It’s really we’ve got different people moving from different products, so -- I think what we did say is that sales of the epic season pass are continuing to outpace everything else and I would say that is by a material amount. I mean, there is definitely a difference between the growth in that product and the results on other products.
Felicia Hendrix - Barclays Capital : Okay, great. Thanks a lot.
Operator: Your next question comes from the line of Will Marks with JMP Securities.
Will Marks - JMP Securities: I wanted to start out on just taking Felicia’s question a step further -- I was a little confused. I thought on the Ritz project, you would receive part of your deposit back based on the lower pricing. Is that not accurate?
Robert A. Katz: Yes, that is accurate.
Will Marks - JMP Securities: So why wouldn’t everyone?
Robert A. Katz: Well again, I’m not going to comment on -- I don’t want to comment on why, on the individual people involved at the Ritz but what I would say is again broadly, people who are under contract for certain units but don’t really want to close or don’t have the means to close or whatever it is may take a different approach to that process than other people and again, that’s about as much as I really want to say. I don’t want to get into speculating because we are not really privy to that.
Will Marks - JMP Securities: Thank you. On Keystone, I don’t think you mentioned -- at this time last season or a little further in, you decided not to begin selling that project. Here we are a year later and you have the gondola set up. What are your plans there, and for any other real estate passed the Ritz and One Ski Hill?
Robert A. Katz: What I would say is that we are currently in a holding mode as it relates to future real estate projects. I think we are continuing on the planning or approval process, some of the design work but I think we need to see some better pick-up in the real estate market before we would launch a new product. I would say that at the moment, we don’t plan on launching One River Run this winter. Now with that said, it is a project that is certainly ready to go and if we saw a pick-up and more real estate activity in the mountain resort industry, we would absolutely reconsider that decision. But at the moment, that would be our plan.
Will Marks - JMP Securities: And on One Ski Hill, you haven’t lowered your prices -- I assume this means that you feel you are somewhere around the market?
Robert A. Katz: Yeah, I think we feel good about our prices. Maybe that’s the best way to put it.
Will Marks - JMP Securities: Okay. And then lastly, kind of big picture in terms of guidance, I know you just give EBITDA guidance, not revenues but I’m curious on -- you gave us some qualitative view of ticket pricing. What about in terms of -- does your guidance assume increased revenues in certain areas like ski school and retail rental, just even if it’s qualitative thoughts?
Robert A. Katz: Yes, it does so I think that guidance -- that guidance does include both some volume increases on the skier -- well, I guess I should say it does include the volume impact on overall ticket revenue and it also includes anticipated volume increases in the ancillary businesses. And a pick-up in retail rental, a pick-up on -- you know, other -- I think we are feeling like -- you know, look, I think there is very little visibility and I think I can’t stress that enough in terms of what the economy is going to bring over the next six to nine months. At the same time, I think there’s no question that the economy went south right in the heart of our season last year and I think we are feeling like even if we are not going to see things return to 2007/2008 levels anytime soon, we think that there can still be some improvement that we can deliver through both our own efforts and our guests feeling better this season.
Will Marks - JMP Securities: Okay, thank you and actually, a couple of number questions for Jeff -- do you have a number, since we have limited balance sheet information but a book value of real estate and then maybe construction in progress?
Jeffrey W. Jones: I think that the real estate held for sale line item that we ended up with at the end of the year was $311 million on the balance sheet. And I would say the land component of that is a little bit over $50 million of the 311.
Will Marks - JMP Securities: Okay, great. That’s it for me. Thank you.
Operator: Your next question comes from the line of Jake Hindelong with Monness, Crespi, Hardt & Company.
Jake Hindelong - Monness, Crespi, Hardt & Co.: First question is just as far as bookings are concerned, you referenced a couple of times the steep downturn really in bookings I would think more like last October. Last year at this time you were down about mid-teens on a units or rooms night basis. If you project forward the rate that we are at now and for September, do you think that by the end of October, you’d be in somewhat of a similar place to where you were last year at the end of October?
Robert A. Katz: Again, I’m not going to be able to comment on any of that. I think again, I think the booking pattern that we saw last year was so radically different that anything we had seen in the prior five to six years that -- and it’s still unclear as to exactly what the booking pattern for this year will be, so what I would say is we’ve obviously incorporated visitation into our overall guidance but in terms of trying to guess exactly how the booking pattern will play out I think is hard to do. I do think -- I’m not sure exactly what the visibility will be like but I do think that the December earnings call is a better time to share insight on that than today.
Jake Hindelong - Monness, Crespi, Hardt & Co.: Great, okay and then you talked about your change in marketing strategy, can you talk about when you rolled that out, so if that would already be kind of impacting your season pass sales? And then just what the change, if there is a change in spending level on marketing is?
Robert A. Katz: Sure. What I would say is the change in marketing on a lot of the new programs and promotions on season passes are really going into place for the fall time period. I think they were not in place for the spring time period. In terms of broader marketing, those were put in place really back in the spring in terms of some of the changes that we were making in terms of where our dollars and resources were going to go. We are at this point not making any dramatic cuts in marketing. I would say being more flexible, you know, and being more opportunistic but I think out thought is that this is an opportunity for us to continue to make in-roads in a number of different areas and part of that is using our marketing strength.
Jake Hindelong - Monness, Crespi, Hardt & Co.: And so last year there was nothing like the epic pass retail tour?
Robert A. Katz: That’s right, there was not.
Jake Hindelong - Monness, Crespi, Hardt & Co.: Got it, great. And then just last question, can you give us a quick update on Ever Vail? I understand that there’s a lot of local boards and planning going on with the Town of Vail and there’s some near-term benchmarks that might be hit or not.
Robert A. Katz: Sure. I think we actually recently completed an in-depth couple of days between our folks and the staff of the Town of Vail really going through the entire project. I think everybody walked out of that feeling like it was an incredibly productive session and I think we started the process of talking with the town council and we will be resubmitting the project relatively shortly in the next couple of months and then working through a step-by-step process, both with the Town of Vail, other regulatory bodies like the design and review board and the planning commission but most importantly continuing to take input from the Vail community and we will be continuing to do public sessions that allow us to share what our thinking is but also taking input from folks in the town. You know, we actually feel very good about where that project stands, very good about the process that we are going through but we are not at the finish line yet.
Jake Hindelong - Monness, Crespi, Hardt & Co.: Okay, great. That’s all helpful. Thanks.
Operator: (Operator Instructions) Our next question comes from the line of David Hargreaves with Sterne Agee.
David Hargreaves - Sterne Agee: I hope this isn’t too simplistic or maintenance related but could you comment on your ability to incur debt as it stands today and in particular, your ability to incur debt ahead of the notes?
Robert A. Katz: I think we will defer on that. What I would say is certainly we remain in compliance with all of the covenants of all of our debt instruments but beyond that, that’s not something we can really comment on.
David Hargreaves - Sterne Agee: Could you just remind us as to what the tightest outstanding covenants are?
Robert A. Katz: Again, no.
David Hargreaves - Sterne Agee: Could you give us any sense of where your restricted payment basket stands today?
Robert A. Katz: No.
David Hargreaves - Sterne Agee: Thanks.
Operator: (Operator Instructions) I show no further questions in the queue. Please continue.
Robert A. Katz: Okay. Operator, are we ready to conclude?
Operator: Yes, sir.
Robert A. Katz: Thank you, Operator. That wraps up our fiscal 2009 year-end earnings call. Thanks to everyone who joined us on the conference call today. Please feel free to contact me or Jeff directly should you have any further questions. Thank you for your time this morning and goodbye.
Operator: Thank you. Ladies and gentlemen, this concludes the Vail Resorts fiscal 2009 year-end results conference call. If you would like to listen to a replay of today’s conference, please dial 303-590-3030 or 800-406-7325 and enter the access code 4154379. The numbers again are 303-590-3030 or 800-406-7325 and the access code is 4154379. ACT would like to thank you for your participation and you may now disconnect.